Operator: Good evening and thank you for standing by. Welcome to AAWH's Third Quarter 2023 Earnings Call. I would now like to hand the conference over to your first speaker today, Rebecca Koar, Executive Vice President of Investor Relations & Strategy. Please go ahead.
Rebecca Koar: Good morning and welcome to AAWH's earnings call for the third quarter 2023. The presentation that accompanies this call can be found on our website, awholdings.com/investors. Before we proceed, I would like to remind you that there are several risk factors and other cautionary statements contained in our SEC and SEDAR filings, including our annual report on Form 10-K for the year ended December 31, 2022. We will not review those risk factors and other cautionary statements on this call. However, we encourage you to read them carefully. Various remarks on this call concerning expectations, predictions, plans and prospects constitute forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ from historical or anticipated results. Any forward-looking statements or information reflect management's current view only, and we undertake no obligation to revise or update such statements or make additional forward-looking statements in the future, except as required by applicable laws. References may be made during this call to future-oriented financial information all of which are subject to the same assumptions, risk factors, limitations and qualifications as forward-looking statements or information. While we believe that such estimates have been prepared on a reasonable basis, reflecting best estimates and judgments, the actual financial results of the company may vary from the amount discussed herein and such variation may be material. During today's call, we will be referencing to non-GAAP measures such as adjusted gross profit, adjusted gross profit margin, adjusted EBITDA and adjusted EBITDA margin, as defined and reconciled in our earnings materials in the appendix of the presentation. These non-GAAP measures, as defined by Ascend, may not be comparable to measures with similar titles used by other companies. Certain information that may be mentioned during this call, including industry information and estimates is obtained from third-party sources, including public sources and there can be no assurances as to the accuracy or completeness of such information. Although believed to be reliable, management has not independently verified any of the data from third-party sources. On today's call, we have Abner Kurtin, Executive Chairman, John Hartmann, Chief Executive Officer; and Daniel Neville, Chief Financial Officer. With that I will turn the call over to Abner starting on Slide four.
Abner Kurtin: Thanks. Rebecca. Good evening, everyone, and thank you for joining our third quarter 2023 earnings call. Before we begin, I would like to thank our customers, partners, investors, lenders, and the Ascend team for helping us deliver these strong results this quarter. In Q3, we exceeded expectations in several key financial areas. The quarter marked our sixth consecutive quarter of record revenue growth where we saw a noteworthy 15% increase sequentially and a 27% increase compared to the third quarter of last year. The success is attributed to improvements in both our retail and wholesale segments. We've also made significant progress in enhancing our gross profit and adjusted EBITDA, showing meaningful sequential improvements. Our adjusted EBITDA surged 39% sequentially with a corresponding increase in adjusted EBITDA margin of over 350 basis points. This success was driven by the initiation of adult-use sales in Maryland and margin enhancements in our cultivation operations in New Jersey, Illinois, and Massachusetts. I'm pleased to report that this marks the third consecutive quarter of positive cash flow from operations with a substantial $24 million generated. Notably, we achieved our first quarter of positive free cash flow, generating $13 million. This reflects our commitment to fiscal responsibility and continued growth and sustainability of our business. This quarter, we saw continued progress made in the federal regulatory environment. We continue to believe the process of legalization of some sort is a matter of when, not yet, but we are not making any predictions on the timing of an uncertain legislative process. At the end of the summer, we saw momentous recommendation from the Department of Health and Human Services to the Drug Enforcement Agency, suggesting the rescheduled cannabis from Schedule 1 on the Control Substance Act list where it's currently sits alongside Heroin and Fentanyl to Schedule 3. This move marks a significant step towards more rational cannabis regulation. However, Ascend remains forcefully optimistic, recognizing that the final decision rests with the DEA and ultimately, the Attorney General. This would be a significant catalyst for the industry, as rescheduling cannabis of Schedule 3 could unlock opportunities for improved tax structures, upgraded patient and customer access, enhanced regulatory consistently, and potentially enhanced investor access. We saw modest progress made on the legislative front. Just over a month ago, the Secure and Fair Enforcement Regulation Banking Act progressed through the Senate Banking Committee, a historic milestone, though we recognize that there is no timetable for passage by the full Senate or the House. In parallel to the aforementioned development in the legislative and executive branch, we continue to participate with an industry group to pursue a lawsuit that challenges the constitutionality of the enforcement of the Control Substance Act against state regulating cannabis businesses. Two weeks ago, we were pleased to officially get this off the ground with the filing of a suit against the United States and the U.S. District Court in Massachusetts. Ascend is proud to be a foundational supporter of this act. We expect this will be a long but worthwhile process, and we will provide any material updates as they are available. We continue to see positive developments at the state level, including the Ohio ballot taking place today, as well as legislative developments in Pennsylvania, which we expect is also on a path to legalizing adult-use. We note that Ascend has significant presence in two of the most important markets expected to convert to adult-use in the near future. At this juncture, a significant majority of Americans have access to legal cannabis, with 38 states operating medical programs and over 20 states operating adult-use programs. While we are pleased with the federal progress made, we remain focused on executing our strategy to become a scale provider in each of our select adult-use or near adult-use markets. We are currently vertical in six of our seven markets, and now sell adult-use in five of our seven markets. We are anticipating citizens in Ohio will vote in favor of adult-use during the ballot initiative today, with recent polls showing over 55% support versus the 50% threshold required, which would make it our sixth adult-use state. Ohio is also a key market for us, as we currently have two open dispensaries and three additional dispensers opening by year end, and are vertically integrated in the state. As a result of our acute focus and disciplined approach, we remain in position to pursue accretive acquisitions. There are many distressed assets in the market, and we continue to evaluate several opportunities to support growth of our asset portfolio by a strategic acquisitions. Our portfolio stands out as one of the most robust and strategically concentrated, driving our revenue and cash flow expansion in the forthcoming quarters. With that, I will turn it over to John Hartmann, our Chief Executive Officer, to discuss the business beginning on slide five.
John Hartmann: Thank you, Abner, and good morning, everyone. It has been a pleasure settling into the role for my first six months at Ascend. Last quarter, I delve deeply into our operations, visiting our 31 dispensaries and six cultivation sites, and took the time to establish a strong foundation by immersing myself in the knowledge shared by our employees, our customers, and partners. This quarter, I turn my attention to understanding the opportunities to enhance the customer experience, elevate production quality and consistency, and optimize our cost structure. The team's focus and early results have been encouraging, with improved margins and enhanced cash flow in the quarter. As briefly mentioned last quarter, to accelerate our strategies, we began a realignment of our executive leadership team. I'm pleased to report that we have filled two of the key open roles with highly talented leaders. One important addition to our team is Chris Holzer, who joins us as our Chief of Operations. Chris will be dedicated to enhancing cultivation, production, and supply chain operations. He joins most recently from Bayer Crop Science, where he held the position of Senior Vice President and Head of Quality for product supply, seeds, and chemistry. Prior to that, Chris accumulated nearly 15 years of experience with Syngenta, holding various roles of increasing responsibility, both domestically and internationally. Chris has managed plant growth for seed production, yields, and quality with strict environmental controls, and has worked within highly regulated frameworks. We are pleased to bring someone of this caliber from outside the industry into our organization to elevate the standards of how we produce our products, improve quality, and capture efficiencies across the manufacturing and production. We also recently appointed Denise Pedulla as Chief Legal and Compliance Officer and Corporate Secretary. Denise comes to us from Conformis, where she was responsible for Legal and Compliance in the Healthcare space. Denise brings deep expertise in providing leadership and cross-functional legal services to global life science companies. Many, if not all, of her past experiences are relevant for us today, including mergers and acquisitions, working with federal and state regulatory enforcement agencies, and deep experience serving as Corporate Secretary for public companies. As previously announced, Dan Neville, our Chief Financial Officer, has resigned for an exciting career opportunity. On behalf of the board of directors and the entire company, I would like to extend my sincere gratitude to Dan for his dedication and contributions during his tenure as our CFO. His leadership has been instrumental in many aspects of the Senate's growth and overall financial success. With this, we are very pleased to announce that Mark Cassebaum is joining as our new Chief Financial Officer. Mark joins us most recently from Blackstone-owned Centric Brands, and previously was the divisional CFO for BuyBuy BABY and Operations at Bed Bath & Beyond. He has held numerous positions of increasing financial responsibility with the Ralph Loren Corporation, where he served for over 12 years. These roles, combined with our recently filled Chief Commercial Officer and Chief of Stores positions, round out the team to help us improve our emphasis on customer focus, associate engagement, and business commitments. Let's proceed to slide six to discuss the latest retail updates from this quarter. Q3 was another strong quarter in our retail business, where we achieved the highest sequential revenue growth since the start of adult-use in New Jersey. Retail revenue grew 13% sequentially in 22% year-over-year to $101 million, making up 72% of our net revenues. While retail revenue growth was led by the successful start of adult-use sales at our four dispensaries in Maryland, we also experienced sequential sales growth for the rest of our portfolio in aggregate. We benefited from particularly positive growth in Pennsylvania, Massachusetts, Michigan, and the full quarter benefit of Tinley Park in Illinois. Q3 represented our fourth quarter in a row with transactions above $1 million, with transaction growth up 17% sequentially. While some of this growth was the result of adult-use flips and store openings, a large portion was also due to the increased sales from our existing customer base. Earlier this year, we revamped our loyalty program, the Ascenders Club, and have since doubled the active numbers. It is important to our retail strategy to cultivate these relationships to drive stickier customers. Looking ahead, our growth plans are on track as we continue to build out our retail portfolio with an intense focus on densifying our current markets. Q4 is a busy quarter as we intend to open four more stores before year end, including our 10th Illinois dispensary in Northlake, a western suburb of Chicago, and our third, fourth, and fifth Ohio dispensaries. Northlake, along with Sandusky and Piqua, Ohio, will follow our successful outlet model, offering everyday low prices, which has proven to be highly appealing to our customers in specific markets. Our Cincinnati, Ohio ground up build will be a flagship store located in an ideal location in downtown. Additionally, we have four more Pennsylvania dispensaries in our pipeline, and we expect them to be fully operational in 2024. Let's move on to slide seven to discuss the wholesale business. In Q3, we saw meaningful sequential wholesale growth for the third quarter in a row. Gross wholesale revenue grew 12% quarter-over-quarter and 33% year-over-year to $69 million, while net wholesale revenue grew 21% quarter-on-quarter and 41% year-on-year to $40 million. This quarter, we experienced gross wholesale revenue growth in each of our markets, led by improvements in New Jersey, Illinois, and Massachusetts. From a third party sales perspective, we maintain our position as market leaders in numerous states, with particular prominence in Illinois and New Jersey, evidenced by 10% sequential growth in our total wholesale client base during the quarter. Additionally, we maintain our dominance in serving social equity customers, reaching 49 out of the 50 open doors in Illinois, and all 35 open social equity doors in New Jersey. From a cultivation and production standpoint, we continue to deliver new offerings to meet our customer's needs and expand our market penetration. We recently launched a new super premium brand, Royale, to help round out our offering. Royale is targeted to the cannabis aficionados, searching for unique phenos with best-in-class profiles. It comes at a higher price point, reflecting the quality of the product, and is currently available in Illinois and Massachusetts. This addition complements our existing in-house and partner brand assortment to provide customers with options and variety. Lastly, and importantly, we believe we have largely addressed the issues in New Jersey cultivation that were reported previously. We are seeing tangible improvements in output from the facility, evidenced by a 30% increase in yields month-over-month in September alone. We continue to closely monitor, but expect that the majority of these challenges are now behind us. Before turning it over to Dan to discuss the financials in detail, beginning on slide nine, I would like to once again thank the team for their commitment and dedication, which has delivered these impressive results. Six months in, and I'm even more excited about the prospects that lie ahead for Ascend, and I'm honored to be driving the team forward, building on the great foundation in our current markets.
Daniel Neville: Thanks, John. Good morning, everyone. Q3 was a standout quarter for Ascend with notable improvements across the board in revenue, EBITDA, and most importantly, cash generations. We reported record net revenue for the sixth consecutive quarter, a 356 basis point improvement in adjusted EBITDA margin, $24 million in cash generated from operations, excluding the receipt of the ERT credit, and our first quarter of positive pre-cash flow, generating $13 million, also excluding ERT. As we have said many times before, this is a stair-steppy business, and we anticipate Q4 to be relatively consistent with Q3 results, but have a lot of exciting opportunities ahead of us in 2024. Total system revenue increased by 13% sequentially to $170 million, while net revenue, which excludes intercompany sales of wholesale product, increased 27% year-over-year and 15% quarter-over-quarter to $141.3 million. This sequential revenue growth was primarily driven by meaningful progress in both the retail and wholesale businesses. As John mentioned, total retail revenue in the third quarter of 2023 was $101 million, gross wholesale revenue was $69 million, and net wholesale revenue, excluding intercompany sales was $40 million. In a reversal from last quarter, our margins were meaningfully improved. Adjusted gross profit increased 26% to $56.4 million, and adjusted gross profit margin increased 340 basis points from 36.5% to 39.9%. The improvement was the result of AU sales commencing in Maryland and margin improvements in Massachusetts and New Jersey wholesale. For Q3, adjusted EBITDA was $29.5 million, which represents a 6% increase year-over-year and a 39% quarter-over-quarter increase. Our adjusted EBITDA margin for Q3 was 20.9%, which represents a 356 basis point sequential increase. The increase was the result of the aforementioned improvements in gross profit margin, as well as increased leverage on our G&A expense base. Let's move on to discuss our cash position and balance sheet on slide 10. We ended the quarter with $64 million of cash in equivalents and $244 million of net debt. We were being committed to generating cash and achieving long-term self-sufficiency. In Q3, we generated $24 million of cash flow from operations, excluding ERT, which was $3 million. Also in the quarter, we generated $13 million in free cash flow, again excluding the $3 million ERT inflow, and inclusive of $11 million of CapEx, which was primarily used to support dispensary builds in Ohio and our Maryland reflagging and renovation. In the quarter, we used $27 million in cash to support cash for investing, inclusive of $11 million of CapEx, and $15 million related to the final milestone payment to a PA medical school for the CR permit we acquired last year. Before kicking it back to Abner and opening it up to Q&A, I wanted to thank you all for your support over my last five years with Ascend. It's been a pleasure to serve as CFO for the company, and I look forward to cheering Ascend on from the outside.
Abner Kurtin: Thank you, Dan. I just wanted to personally thank you for your exceptional service as our CFO. It's been an absolute pleasure to work alongside you as you navigate our financial journey from the IPO, a successful debt raise, and much more. Your contributions to Ascend's growth since you joined us in 2019 have been invaluable. Your leadership, financial acumen, and dedication have been instrumental in shaping our success. We are grateful for your commitment and impact you've made on our organization and wish you much success in your new role. Operator, you can open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from line of Sonny Randhawa of Seaport. Please go ahead. Your line is open.
Sonny Randhawa: Hi. Thanks for the question. I wanted to - I think we've had some of your competitors talk about the partnership opportunity in New Jersey where you can take a 35% stake in seven additional retail locations. Have you guys explored that? And if you have, where do you stand in terms of making that commitment?
Abner Kurtin: Hey Sonny, it's Abner. Yes I think that is something that we are actively exploring. We're waiting for some of the details and figuring out how best to achieve that for Ascend. But absolutely, our strategy has always been to get scale at any state we are in. We also work to support and partner with other applicants, particularly social equity applicants. So, this is an ideal opportunity for us to expand our New Jersey presence. And we expect to be active next year.
Sonny Randhawa: Have you seen any impact? I know New Jersey retail has expanded quite a bit over the past couple of quarters. I think we're currently showing 62 retail locations and - or 62 adult-use locations and 73 total with, I guess, overall New Jersey revenues still indicating flat-ish, if not down growth in September. Are you seeing an impact on your retail business there? I know wholesale is doing great with all those new dispensaries coming on.
John Hartmann: Yes, we've seen a modest impact as the market densifies, but overall, we're very pleased with the performance of the stores and the compliment that the wholesale business is making to our overall position in New Jersey, which has been growing very aggressively on the wholesale side. And as Abner mentioned, we can continue to pursue deep relationships with social equity partners and we'll continue to do that to focus on ensuring that the New Jersey market is positive for us as we look to add additional stores in the future.
Sonny Randhawa: And where do you guys stand in terms of the yield improvements? I know initially the yield that in New Jersey was adequate and then you had the issues. Have you gotten back to that adequate yield or I guess if we look at Michigan after you guys did some mitigation there, you saw pretty meaningful improvement in yield?
John Hartmann: Yes, we've been seeing very nice sequential improvement in our yields coming out of Franklin, New Jersey over the last several months. As I mentioned in my prepared remarks, we were up 30% month-over-month in September and we believe we're on the right track. The facility looks great. The plants look very healthy and we expect that to continue in the future.
Operator: Thank you. Our next question comes from the line of Neal Gilmer of Haywood Securities. Please go ahead. Your line is open.
Neal Gilmer: Yes, thanks very much. Maybe just sort of follow on that last sort of question a little bit, but talk about the gross margin side of things. I know that some of those some yield issues in New Jersey impacted margins in previous quarters. Now that you seem to have addressed most of that, we saw some evidence of that margin improvement in Q3. Are we getting ahead of ourselves to expect further margin improvement in Q4 going forward? I just sort of taking a look at last year, you're in the mid-40 range. Is it realistic to get back towards that range again?
Daniel Neville: Yes, I think I would assume we had some good progress this quarter, but I would kind of assume flat going forward. Maybe we can get a little incremental improvement similar to what we saw with some of the improvements both in Massachusetts and Franklin New Jersey this quarter. But we also are opening more and more outlet stores. The outlet model, well, very accretive on a gross profit dollar basis, is dilutive to our overall margin profile. And as you have additional stores opening up in Illinois and New Jersey over a longer time horizon, you would also probably anticipate a little bit of softening in the gross margin profile at retail generally. So I think you got to take the mosaic into account and somewhere plus or minus around this level is probably a good baseline for us.
Neal Gilmer: Okay, great. Thanks for that. My other question would just be on your comments with respect to Royale in the prepared remarks. What are your plans on sort of introducing that brand to some of your other markets?
John Hartmann: Yes, we have plans in place to introduce Royale in each of the markets where we're currently vertically integrated. Our priority is on the adult-use recreational markets for the time being. So we'll be focused on Illinois, Massachusetts, and New Jersey. And we'll consider Michigan in due course. And then we'll follow in the other markets when it makes sense.
Neal Gilmer: Okay, great. Thanks very much.
Operator: Thank you. And we currently have no further time for questions. So once again, thank you all very much for your -.
Daniel Neville: We have time for questions.
Rebecca Koar: Yes.
John Hartmann: We're good till 9:30.
Operator: Apologies. Okay. Our next question comes from the line of Matt McGinley of [technical difficulty]
Rebecca Koar: We have time for questions.
Unidentified Analyst: Great. It's Matt McGinley. Can you hear me now?
Daniel Neville: Yes, got you. Hey Matt.
Unidentified Analyst: Great.
Daniel Neville: I was scared of your question. So we're trying to end it early.
Unidentified Analyst: Hopefully not. I guess my first question on the cash flow is how much of the $24 million in cash flow from operations this quarter was from an increase in taxes payable? And what kind of planned out flow do you have for CapEx into the fourth quarter? And I know you typically make some catch up tax payments in the fourth quarter. Can you kind of help to frame what we should assume in terms of overall outflow in the next quarter?
Daniel Neville: Yes. So on the source, on the tax side of things it was $12 million on a cash basis this quarter on a normalized basis. If you're walking in our kind of accruals that we would have a quarter-in, quarter-out at this level of profitability at somewhere in the $9 million to $10 million range. So it was a little elevated on the cash side of things just given the timing of payments this quarter, but $12 million of the 2024 was from the tax side of things. And then, on the tax payable, we've kind of taken with all the movement that is occurring at the federal level, the position that we should be building tax debt a little bit here given the progress that is occurring both through safer, through rescheduling as well as the third prong that was just added to the stool with the judicial challenge that the industry has brought against the industry. So we'll continue to be making payments on the state side of things and continue to pay estimates on that side of things, but we're kind of putting pause for the time being on the federal side of things.
Unidentified Analyst: Okay. And on the G&A side, I assume that a good portion of that $4 million increase you had in G&A was driven by the Maryland dispensaries. How should we assume that that looks into the fourth quarter? Is $40 million now the right run rate? Or given that you just brought those stores on this quarter, there were probably some inefficiencies as you brought them online. Is there any opportunity for cutting that into the fourth quarter or even next year?
John Hartmann: I think that's probably a pretty good level. We will, you know, Maryland at the very start was definitely - the contribution on that side of things in July ramp throughout the quarter. But we've got four additional stores that are opening in the fourth quarter between the three in Ohio and our tenth dispensary in Illinois. And John and team are also building out our bench on the corporate side of things. So I would think that a slight, maybe even increase on that side of things into fourth quarter is probably warranted.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. And our next question comes from the line of Frederico Gomes at ATB Capital Markets. Please go ahead. Your line is open.
Frederico Gomes: Hi, good morning. Congrats on the quarter. Thanks for taking my questions. The first one is just on your wholesale, the strength you're seeing across your different markets. I wonder, if you could break down the drivers for that strength. Are those improvement in your production or just additional distribution in new doors? Or are you seeing any sort of better competitive environment improvement in pricing, et cetera, so just a color on that?
John Hartmann: Yes, if I heard your question correctly, sales overall, so I'll break it down retail and wholesale. From a retail perspective, as mentioned, we had the four dispensaries open in Maryland, and so copying that year-over-year from a store perspective. In the quarter, we had Tinley Park in Illinois, and existing sales performance from the balance of our footprint. On the wholesale side, as mentioned, wholesale sales have improved greatly, coming out of Franklin, also Berry and Athol in Illinois and Massachusetts, our wholesale sales were up nicely. From a gross wholesale perspective, we saw improvement in each of our markets, so strong gross wholesale. And then on the third party, wholesale side, we saw, again, we saw increases in New Jersey, Illinois and Massachusetts. And so I think those are primarily the highlights on both retail and wholesale.
Frederico Gomes: Thank you. And then just on your outlet model, can you just maybe remind us what sort of how many stores are within that model at this point? And as you look to open new stores, I know that in the deck you mentioned two new stores that are outlet. What percentage of the new stores are going to be outlet versus other traditional model? Thank you.
John Hartmann: We currently have five outlet stores. And we - and as mentioned in our prepared remarks, Sandusky and Piqua, Ohio are opening in the outlet model. And in Northlake, thank you. And Northlake, Illinois, so three additional coming online here in the next two months.
Frederico Gomes: Thank you very much.
Operator: Thank you. And our next question comes from the line of Russell Stanley at Beacon Securities. Please go ahead. Your line is open.
Russell Stanley: Good morning and thank you for taking my question. First on Illinois and the wholesale business there. Just wondering, it sounds like you're still up near essentially at 100% penetration there. How are you thinking about the growth of the business going forward? Is your focus on just grabbing or opening new doors - as new doors arise, getting into them with the social equity licensees? Or are there opportunities for you to expand share of wallet with existing customers? Just trying to understand relative priorities there.
John Hartmann: I think those are both very good priorities, expanding share of wallet with our existing customers and continuing to stay on top of the opportunity to add new doors as they open up. So both of those are part of our wholesale strategy and it's proven quite effective in the last few quarters - in the last quarter and we'll maintain that going forward.
Russell Stanley: Great. Maybe on the follow-up, Ohio, as you noted, looks, likely the voters will approve the adult-use measure. I guess some lingering questions around the legislature's response given some recent comments by the Senate President. Just wondering how you're thinking about the way this likely plays out as far as implementation goes?
Abner Kurtin: Yes. So obviously we're quite hopeful about today. We think it's not just passing a 50%, but the number is really important. We think a number closer to 60% or above would really give kind of the mandate that puts pressure on the Senate President and the governor. The positive side is we have a really detailed ballot question with real benchmarks for the legislature to live up to. And we hope that, what we're getting is a lot of rhetoric in his personal beliefs, but that he's going to follow the law. If it turns out to become a problem and we don't - and they, and they take certain delaying tactics, the possibility is that it goes on the ballot next year as a constitutional amendment, which is something I don't think the Republicans want in the state. So the hope is the combination of the vote today and the like we follow through if they don't implement is enough to get this done. And the will of the people will prevail in this case.
Operator: Thank you. And we currently have one further question. [Operator Instructions] The next question comes from the line of Andrew Semple at Echelon Wealth Partners. Please go ahead. Your line is open.
Andrew Semple: Hi there. Good morning. Thanks for taking my question. While we're on the topic of Ohio, I believe earlier in the year you decided to defer some capital investments and cultivation that state and the size that you're going to build out that cultivation facility. Have you made any additional investments or have you returned to that decision now that you've had a quarter here with some pretty substantial improvement in cash flow. Has there been any revision to how you're planning cultivation passing that state ahead of the vote tonight?
John Hartmann: Andrew, currently we've not changed our position on the investment in Ohio. We're still assessing it. We've - the team has done an excellent job of scoping out what additional investments would look like in our cultivation and production capacity in the state of Ohio. So we're just - we're watching the legislation will be prepared to service all of our stores as they open up here in the coming weeks. And then as vote plays through, as Abner just referred to, we'll make a decision following on when the right time is for further investment in the state.
Andrew Semple: Great. That's helpful. And then if I could go back to New Jersey and the cultivation facility there, clearly there's been some substantial improvements in that. What would you say that facility is now running out in terms of the, its nameplate capacity?
John Hartmann: Andrew, I don't think I'm going to get into like a specific percentage of capacity for the facility. I would reiterate that we are very pleased with the progress and the turnarounds that have been made in the health of the plans. The team has been working very hard to enhance some of our environmental investments in the facility. And we believe it's full, it's on track for full capacity in the weeks and months ahead. So we're just - we're very pleased with the progress. And we expect to see continued, find the continued financial performance to follow the improvements in the cultivation and production of the facility.
Daniel Neville: But the rooms are planted, the yields are good. Like that's - all the rooms are planted, yields are good. We're happy.
Andrew Semple: Great. Great to hear and glad to hear it sounds like there might still be a little bit more wiggle room to come there. That's it for me. Thanks for taking my questions.
Operator: Thank you. And as there are currently no further questions on the line, we'll now conclude the call. Once again, participants, thank you all very much for attending. You may now disconnect your lines.